Operator: Thank you standing by. My name is Ian, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Seadrill Q1 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would like to turn the call over to Kevin Smith, Vice President of Corporate Finance and Investor Relations. Please go ahead.
Kevin Smith: Welcome to Seadrill's first quarter 205 earnings call. I'm Kevin Smith, Vice President of Corporate Finance and Investor Relations. I'm joined today by Simon Johnson, President and Chief Executive Officer; Samir Ali, Executive Vice President and Chief Commercial Officer; and Grant Creed, Executive Vice President and Chief Financial Officer. Our call will include forward-looking statements that involve risks and uncertainty. Actual results may differ materially. No one should assume these forward-looking statements remain valid later in the quarter or year, and we assume no obligation to update them. Our filings with the US Securities and Exchange Commission provide a more detailed discussion of our forward-looking statements and the risk factors affecting our business. During the call, we will also reference non-GAAP measures. Our earnings release furnished to the SEC and available on our website includes reconciliations with the nearest corresponding GAAP measures. Our use of the term EBITDA on today's call corresponds with the term adjusted EBITDA as defined in our earnings release. I'll now turn the call over to Simon.
Simon Johnson: Hello, and thank you for joining us on our call. Today, I'll touch on our quarterly performance before moving to market overview. Samira will then discuss our commercial outlook, and Grant will review our quarterly financial results. I'd like to begin today's call by recognizing two rigs in our fleet that recently received special endorsements from our customers for outstanding service delivery. The Sonangol Quenguela was awarded 2024 Rig of the Year by TotalEnergies, and the West Vela was the recipient of a 2024 Supplier Recognition Award from ConocoPhillips. This acknowledgement is a testament to our crews and their commitment to providing safe and efficient operations for our clients. In the first quarter, Seadrill delivered EBITDA of $73 million. Economic utilization for the quarter of 84% was principally impacted by three of our rigs in Brazil. As previously disclosed, the West Tellus incurred downtime in the quarter responding to regulatory matters, and the West Auriga and the West Polaris both incurred teething issues as they commence long-term contracts. Whilst it is not uncommon to experience lower uptime following major projects, returning utilization to the Seadrill standard is a priority moving forward. We've already seen a material improvement in the month of April. Turning to the market, current global macro uncertainty and OPEC's decision to accelerate supply increases way heavily on the underlying commodity price at present. Clients are showing caution investing in such a volatile environment and this is disrupting the demand side of their business. We don't know how long this climate will persist but it's having understandable impact on near-term customer confidence. Although, uncertainty has increased, we are encouraged by our active dialogue with clients for opportunities commencing in the second half of 2025 and 2026 and anticipate multiple contract awards in the coming months. We are confident in the future demand for deepwater drilling. Fundamentals remain in place and we continue to believe that investment is required to offset depletion. Deepwater will play a substantial role in reserve replenishment. Historically, US shale plays have been an important source of production growth. Tier 1 acreage has largely been drilled, productivity gains and efficiency improvements are slowing down and average well economics are increasingly seen as less attractive relative to deepwater prospects. In contrast, deepwater investments continue to be compelling due to expansive reserves and superior production rates. Offshore sanctioning activity in both 2026 and 2027 is forecast by [inaudible] State Energy to be double that of 2025 with roughly 75% of these projects economic above $50 per barrel and more than 80% economic above $60 per barrel. We believe we are well positioned in the current environment. We operate a floater-focused fleet in geographies that are oil price resilient. A strong balance sheet and capital structure should provide protection against the market volatility that we are currently experiencing, especially if it proves to be more prolonged than currently anticipated. We closed the first quarter with cash of $430 million and we have durable contract cover with backlog of $2.8 billion that extends meaningfully through 2028 and into 2029. As we navigate the current landscape, we will remain disciplined in managing our fleet. The industry has brought back supply prematurely in the absence of sustainable demand. It is our continued belief that prioritizing margins and cash flow, early utilization will yield more long-term value creation for our shareholders. Finally, I want to provide an update regarding the delay penalty notices Seadrill received from Petrobras related to the Sete matter. Petrobras and Seadrill have agreed to participate in voluntary mediation and Petrobras has committed to not exercise any set-off rights pending the outcome of the mediation. At this stage, we cannot estimate when the mediation will commence or be completed. However, dialogue between the parties is ongoing and has been constructive to date. With that, I'll turn the call over to Samir.
Samir Ali : Thanks, Simon. I will now discuss our commercial outlook for the ultra-deepwater markets, starting with the US Gulf, which is often viewed as a barometer for leading-edge day rigs. We currently see up to five rigs that may roll off contract before yearend, which will increase competition and exert downward pressure on rates in 2025. Despite the near-term competitive environment, this dislocation between supply and demand is temporary and we anticipate the region will return to balance in 2026 and could well become undersupplied in the out years, leading to stronger utilization and rates. Seadrill currently operates two high-specification drillships and one new semi-submersible in the US Gulf. The West Neptune, recently equipped with MPD, has a firm contract with LLOG through May 2026, extending our partnership into its 12th consecutive year. The West Vela continues to demonstrate exceptional operational performance for its clients. The rig recently drilled a high-impact well, 35% below budget and one month ahead of schedule. This exceptional level of performance differentiates the West Vela compared to other rigs rolling off this year and allows us to compete preferentially for opportunities. The Sevan Louisiana, our sixth-generation semi-submersible, is due to finish its current contract next month. Unlike the drillship market, the contracting cycle for this rig is short in both its lead times and duration. Recently, we have seen an uptick in interest from a variety of customers that leaves us optimistic that Sevan Louisiana can continue to surprise the upside. In addition to drilling programs, we are pursuing well intervention and plug-in abandonment opportunities for the rig, which generate positive cash flow, albeit at lower rates. Moving to Africa, a region where the deferral of work is felt most acutely, we continue to see a reduction in floater demand of two to four rigs in 2025, before rebounding strongly to incremental growth in 2027 and beyond. Nigeria, Namibia, Mozambique, and Angola remain sources of optimism in the medium and longer term. We are engaged in active dialogue with our customers for all three rigs that we currently operate through our joint venture in Angola and are competitively positioned for near-term opportunities. If successfully contracted, the Seadrill owned West Gemini will undergo a routine SPS before commencing its next contract. Turning to Brazil, as anticipated, Petrobras has issued a multiyear tender for one or more rigs for work on the Bougios field, commencing in late 2026, and could come to market with another tender for an additional field later this year. In addition to Petrobras, we are seeing demand from other operators, including some large IOCs, which illustrates the longevity of demand in Brazil and provides further support of our view that 30-plus floaters will be required in the region in the coming years. We currently have six drillships operating in Brazil, and only one of these rigs falls off contract within the next 12 months. The West Carina, a high-specification, seventh-generation asset that is dual-activity and MPD-equipped and dual-BOP capable. The rig is well-placed to participate in the recently announced Petrobras tender, but is also capable of operating in deepwater basins across the globe, including the U.S. Gulf. Outside of the Golden Triangle, the West Capella, a dual-activity, MPD-equipped drillship, is currently stacked in Malaysia. We are in discussions with multiple clients for opportunities in the region, commencing in the second half of 2025, and longer-term work with a 2026 start date. The rig has a solid track record in the region and is regarded as one of the best-performing assets in Southeast Asia. In addition to our floating fleet, we also operate one harsh environment jacket, the West Elara in Norway. Despite the recent recognition of the West Elara that Simon mentioned earlier on the call, ConocoPhillips recently indicated that the need for multiple jackets in Norway beyond 2026 is uncertain. We continue to have an open dialogue with our client about the West Elara. In closing, our focus remains on securing the right opportunities for rigs of uncommitted capacity. Our fleet is well-positioned to compete for work across key markets, and we are approaching new opportunities with commercial discipline to ensure contracts reflect the technical capabilities of our assets. While near-term softness exists, the underlying demand outlook is constructive. Ultimately, reserves must be replaced, and we believe operators will come to market to build a plethora of projects that have been deferred for multiple years. And with that, I'll turn it to Grant.
Grant Creed : Thanks Samir. I'll now walk through our first quarter financial results. Total operating revenues for the first quarter were $335 million, an increase of $46 million from the prior quarter. The increase in contract-earning revenues accounted for almost all the sequential improvement. Contract earning revenues were up $44 million sequentially to $248 million due to additional operating days. Most notably, the West Auriga and West Polaris commenced contracts with Petrobras in December 2024 and February 2025, respectively. The increase in operating days was partially offset by a decline in economic utilization, as Simon referenced in his earlier remarks. Turning to expenses, first quarter total operating expenses were $317 million, down from $323 million in the prior quarter. Vessel and rig operating expenses increased $15 million to $179 million due to additional operating days across the fleet. Depreciation and amortization increased $10 million, which is primarily a function of capital spend associated with recent projects for the West Auriga and West Polaris ahead of their contract commencement. Merger and integration-related expenses were low down $17 million sequentially following the handover of the final two equatorial rigs late last year. Management contract expenses decreased $6 million to $45 million, largely attributable to the timing of R&M project spend. And SG&A expenses were lower at $23 million for the quarter. Adjusted EBITDA was $73 million, up from $28 million in the prior quarter. Now turning to the balance sheet and cash flow statements, we continue to maintain a robust balance sheet and sound capital structure. At the end of the first quarter, gross principal debt was $625 million, and we held $430 million in cash, including $26 million of restricted cash. A long runway to debt maturity in 2030 and strong cash on hand, positions Seadrill well to endure periods of market volatility. Net cash used in operations during the first quarter was $27 million, and payments for capital additions and investing activities were $45 million. As expected, the first quarter included the settlement of invoices related to contract preparation and mobilization for the West Polaris and West Auriga, the periodic survey for the West Neptune, working capital requirements for the additional operating days related to these three vessels, and the biannual payment of interest on the secured bond. We are maintaining our full year guidance shared on our fourth quarter earnings call, that is total operating revenues of $1.3 billion to $1.36 billion, which excludes reimbursable revenues of $35 million. Adjusted EBITDA in the range of $320 million to $380 million, and full year capital expenditures in the range of $250 to $300 million. We have undertaken an initial review of the impact that tariffs may have on our business. While the assessment is ongoing, at this early stage, we believe any impact of tariffs is contemplated by our current guidance ranges. I'll now hand back to Simon for his closing remarks.
Simon Johnson: In closing, while the near term outlook for offshore drilling is cloudy, we are encouraged by our active conversations with customers for opportunities beginning in the second half of 2025 and 2026. And remain convinced of the medium to long-term prospectivity of our business. Our strategic focus and high specification floaters and advantaged deep water basins, strong balance sheet and durable backlog offers both resilience and opportunity. With a modern capable fleet and a disciplined approach to deployment, we are poised to benefit as market fundamentals improve and operators refocus on reserve replacement. We believe that Seadrill is undervalued. The board and management have worked diligently over the past few years to create a leading platform for long-term value creation. We've worked continuously to analyze and improve our cost-based and operational footprint. Simultaneously, we have refined the fleet, optimized the balance sheet, materially reduced the share count and secured a number of long-term contracts at rates well in excess of recent awards. With that, we'll open the line for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of David Smith with Pickering Energy Partners.
David Smith: Hey, good morning. Thank you for taking my questions. So as you know, one of your competitors recently committed four deepwater rigs to contracts with a total base value of about $2 billion and performance incentives that could add another $540 million or 27% upside. Wanted to ask if you've seen a shift in client interest toward tying more of the contract economics to performance-based metrics. And is there any reason we shouldn't expect that operators have already started trying to anchor negotiations around the lower base rates implied by those contracts?
Samir Ali : Sure. Hey, Dave. I'd say performance-based contracts have been around for a while. We've got some currently as well. I'd say the quantum was probably different this time with what one of our peer did, but they are not a new concept, right? And for us, if we have the right client and the right rig, we're happy to enter a larger performance-based contract. So if I take the Vela, for example, she drilled her last well 35% below budget and a month ahead of schedule. It would have been a great contract to have a performance piece to it. So overall, we're not seeing a massive shift towards it. It is something that's been around for a while. I think the thing our peer did is just made it bigger. But again, for the right client, the right opportunity, we're definitely open to it.
David Smith: Appreciate that. And just a housekeeping question. What are the costs to stack the Capella? And kind of how should we think about the average daily cost while it's stacked? And do you have an estimate of the reactivation costs if you were to secure work independent of any client-requested upgrades?
Simon Johnson: Yes, Dave, we've taken immediate steps to proactively reduce the costs while we pursue outstanding contracting opportunities for the rig. We have wound the cost back by a certain extent, but we haven't taken those irrevocable steps to cold stack the rig at the moment. We're still in the fight with work opportunities for the rig in the region. And we really haven't reached the long-term steady state cold stacking rate that we will reach if we're unsuccessful in our contracting efforts. So we're in the ramp down mode at the moment. So I think we can probably come back to you next quarter with an indication of what we're able to achieve. But at the moment, it's pretty dynamic.
Operator: Our next question comes from the line of Fredrik Stene with Clarksons Securities.
Fredrik Stene: Hey, Simon and team. Thank you for all the color, as always. I wanted to continue a bit on the Capella and the stacking efforts that you're now carrying out. What, when you're weighing stacking versus keeping a rig warm, could you elaborate a bit on the decision process there? I think before you've been relatively quick to make those, call it harder decisions. And also now that you've actually elected to stack a rig, at least for now, how does that impact the other rigs that you currently have stacked? Should we expect that some of them might be heading for proper retirement after this? Thank you.
Simon Johnson: Yes, Fredrik, I think, as you point out, we've been decisive about taking important decisions when we need to. We're in active dialogue with customers for opportunities on the Capella, the Gemini, and the Sevan Louisiana. And we hope to provide some updates on the various opportunities we're chasing relatively soon. We've said many times that we're going to be disciplined about removing supply from the market. If we don't have clear line of sight on a job and all profitable work isn't available in the marketplace, we're not going to sit there idly burning cash for long periods of time. So whilst we don't have a firm sort of policy, there's obviously an element of a math problem to this, but you shouldn't expect us, for example, to sit there with a rig warm stack for six months. If we have to bridge between programs, if we don't see the support in the market for a long-term opportunities for a rig with one or more customers, then we're going to move to cold stack very quickly. What I will say, a lot of people are talking about the competitiveness of sixth generation rigs in the market, of which we, I've mentioned three that are of particular near-term concern for us. We believe our rigs are very competitive. Our drillships, in particular, drill activity. The rigs have a great history of efficient operation. And when people talk about specification differences and the like, our sixth generation rigs, on the whole, compare very favorably with our seventh generation rigs. And I really think there's a bit more to the competitiveness of assets around cost structure, around geographic location, and around operating capability and performance track record. So we're pleased with our assets' ability to compete, and it's really only long-term cold stack rigs that we would contemplate to remove from supply in the near future.
Fredrik Stene: That's a very good color. And just on final, a quick one from me. You maintained guidance. How much of midpoint guidance is currently covered on ‘25?
Grant Creed : Fredrik, we're not going to get into the midpoint and trying to state where we're at in that guidance range. I think the fleet status gives you a good indication of which rigs would dictate where we land within that range. The Louisiana and Vela clearly have some open capacity toward the end of the year, and those will be the ones that drive, primarily drive where we land in that range.
Operator: Our next question comes from the line of Greg Lewis with BTIG
Greg Lewis: Yes, hey, thank you, and good morning, everybody, and thanks for taking my questions. Simon, thanks, and team, thanks, and Samir, thanks for all the comments around the sixth, seventh-gen rigs. But I am curious if you could maybe provide some color around the Vela. I guess one of the questions that it seems like that's coming out there in season is kind of that bifurcation between sixth- and seventh-gen floaters. Clearly, the seventh-gen drillships have an advantage. As you look at the opportunity set of the Vela, which is a seventh-gen rig versus other seventh-gen rigs that are out there with availability, how does that landscape look?
Samir Ali : Yes, so the Vela is placed quite well in the Gulf of Mexico not our comments, but our clients' comments saying she's the best-performing rig in the Gulf. So, it definitely helps us market that asset. We are in active dialogue with a few clients for that rig, kind of in the fourth quarter and into Q1 2026. So, as I sit here today, we feel pretty confident in our abilities to fill that rig schedule, right? I mean, it really does come down to performance, and she's got MPD, she's dual activity, dual BOP. So, everything you'd want for a rig in the Gulf of Mexico with that performance track record, it really does give us some confidence in our ability to secure more work.
Greg Lewis: Okay, great. And then the other question I had was clearly there's opportunities in ‘26, and it seems like everybody's pointing to ‘26 in West Africa. For startups, right, the contracts will happen well in advance of that. Are there, if we were to look at Asia, is Asia, is APAC kind of similar? i.e. there is a lot of negotiations, but most of that work is not until back end ‘26, ‘27, or is there the potential for, are there any contracts out there with -- in Southeast Asia or Asia Pacific, depending on how you think about it, for work that is prior to the back end for ‘26 or we're going to have to just kind of slow play this in Asia?
Samir Ali : Greg, you've known me for a long time. The answer I love, yes and no. So, most of the programs are second half of ‘26 or middle of ‘26, if you will. There are absolutely some programs with a shorter end duration for this year and early parts of next year. So, yes, I'd say it's a good mix. You've got some that shorter term stuff in the near term, but the longer term kind of more duration, more tenor or is probably more heavily weighted to the second half of 2026.
Simon Johnson: Yes, I think, Greg, if I can also add, we've got a lot of long dated contracts in our contract portfolio. And it occurs to us that now is not the time to go long and low. So, it's important to balance that that near term desire to secure contract coverage with maintaining operating leverage. A lot of people talk about recovery in 2026 and 2027, but what are they actually doing to position their fleets to benefit from that? We think that there's going to be a much more helpful dynamic appearing in the marketplace in late ‘26. And we intend to keep our fleet well positioned to benefit from that.
Greg Lewis:
Operator: Our next question comes from the line of Hamed Khorsand with BWS Financial
Hamed Khorsand: Good morning. I'm just trying to assess like the likelihood that you would actually get any contracts for the second half of ‘25. And just the confidence there.
Samir Ali : It's a dynamic market, right? So, volatility is not helping us. Things change kind of hour by hour. Overnight, you had a settlement in tariffs at least for 90 days with China or a pause, if you will. So it's hard to handicap that answer right now. I'd say we feel confident on some of our assets and our abilities to contract, but it is a volatile and dynamic market. And it's something we deal with every day.
Simon Johnson: Yes, Hamed, it’s Simon, I think the key thing to look at is when we cold stack rigs. I mean, that's when we are ceasing to pursue opportunities or the opportunities themselves have dried up. I think the fact that we haven't moved the cold stack, the Capella, the Louisiana or the Gemini gives you an indication that we see things in the marketplace where we stand to benefit. We're very disciplined about reducing costs to the maximum extent and as quickly as possible. So, I think the fact we're continuing to market those rigs should give you a sense that we're quietly confident on our contracting outlook for those units.
Hamed Khorsand: Do you feel like the need that you need to compete on price right now?
Samir Ali : Not really. I mean, I think performance still matters a lot, right? I mean, you can't be terribly outside of where recent pricing is, but we've shown historically our ability to get leading edge day rates. So, I think for us, we're going to continue to sell off our performance and our differentiation and clients are willing to pay for that.
Simon Johnson: A lot depends on the competitive dynamics of a specific region relative to others. I mean, there may be places where we're forced to accept lower prices than we would otherwise like and there may be other places where we're able to keep prices at the leading edge, as Samir says.
Operator: And that concludes today's remarks and comments. Thank you very much for joining us. This concludes today's conference call. You may now disconnect.